Operator: Good morning, and welcome to the presentation of ASSA ABLOY's First Interim Report in 2020. My name is Björn Tibell. I am heading Investor Relations. And joining me from their home offices are ASSA ABLOY's CEO, Nico Delvaux; and CFO, Erik Pieder. We have set aside about one hour for this conference. And as usual, we will now start with a summary of the report before we open up for your questions. So with that, I would like to hand over to you, Nico.
Nico Delvaux: Thank you, Björn, and also good morning from my side. Indeed, a special quarter, affected, in an important way, by COVID-19 and also the way we do this Q1 call now also affected by COVID-19, as Björn said, all working from home. And of course, we already gave you the preliminary results three weeks ago. So what we will try to do today is just give you a little bit more color on results and give you some more details. So again, a quarter impacted in an important way by COVID-19, with an organic sales development, negative organic growth of minus 3%, with still positive growth in Americas, a flat Global Technologies and Entrance Systems, but then a decline in EMEA and a strong decline in APAC. And then definitely, our EBIT, more affected by COVID-19 and EBIT, which was 15% down compared to the same quarter a year ago. And EBIT also, affected negatively by FX and M&A. And then on the positive side, a solid cash flow, 3% up compared to the same quarter last year. This COVID-19 started, I would say, as a demand problem in China and perhaps operational supply challenge outside of China to the rest of the world. If everybody was still asking, are you going to be able to deliver from China to other places in the world. But then very fast that changed into, I would say, a global demand challenge in the whole world, basically starting in the rest of Asia, coming to Europe and now, definitely, also in the Americas. But then in February, we had higher costs around operations and logistics. And then clearly, in March, we saw, in many markets, top line dropping in a significant way. So the figures, sales, minus 3% organic growth. Good growth through acquisitions still, of plus 3%, also, helped by currency. 3% of sales of SEK 22 billion, 3% up and EBIT margin of 12.4% versus 15.1% last year and EBIT in absolute value of 15% lower than the same quarter a year ago. If we look a little bit sales by region, starting with North America, perhaps the part of the world that was less affected by COVID-19 in the first quarter. As a matter of fact, in U.S., you could say that we still had a normal quarter until the last week of March, where we only then started to see an effect on the top line. So still, a solid 3% positive organic growth on top of a very strong growth same quarter a year ago. Then, we were also very pleased by the development in South America, an accelerated growth, plus 9%, with also Brazil performing very well in Q1. Then, we go to Africa, minus 13%. That is mainly because we got a big project order from HID a year ago and therefore, the comparison was difficult. But then clearly, in Europe, minus 4%, affected, in an important way by COVID-19 in March, I would say, starting – beginning of March in South Europe. And then slowly, the virus working its way up more to Central Europe and then also markets like France, UK and so on, being affected, so minus 4%. Pacific holding up well in Q1, plus 1%, thanks, in the first place, to Australia, a good performance. And then clearly, Asia, the part of the world most affected in Q1, top line-wise by COVID-19, minus 31%. In the first place, of course, China but also strong negative growth in South Korea, a market which was already depressed before COVID-19 and then clearly, COVID-19 did not help. And also, a negative growth in Southeast Asia. So I think this also gives me perhaps the opportunity to show a little bit where we stand today in April from a market perspective. And it's true that more or less half of world population, in one way or the other, lives in a lockdown situation today. If I start with North America, if I look in Canada, decisions are made on state level. But if you take the two more important states, Ontario and Québec, both are under lockdown. If you take the U.S., most states and definitely the more important states from a construction perspective are in one way or the other, lockdown. Then, we go to Central and South America or Latin America. Mexico, perhaps, still, slightly more positive than the rest of Latin America. But I would say situation, in general, in Latin America, also very depressed, with a big country like Brazil in complete lockdown, countries like Colombia, Peru, completely locked down. We then go to Africa. For us, obviously, the most important market is South Africa, also completely shuts down. Middle East, big market like Saudi Arabia, in complete lockdown. And then, coming to Europe. Spain, Italy, France, perhaps more ahead of the curve and confident that things are improving and starting to talk about how to open up the country again from a very low level. Then, a country like UK, perhaps a couple of weeks behind in the cycle compared to Italy and Spain. So still, very much in that negative part of the cycle. Perhaps, a little bit more positive in Europe, a country like Germany and the DACH region in general, managed quite well, so far, the crisis, and we still see good business activity. And then definitely, also, a region like Scandinavia, with Sweden, in particular, but also Finland, where activity is still going on clearly on a lower level than last year. But not completely lock down like southern part of Europe. If we then go to Oceania, two different pictures. Australia managed to keep going, whereas New Zealand had been locked down for a month or so. They just opened up again yesterday. It remains now to be seen how fast they will ramp up again. And if we then go to Asia, a lot of people are very positive on China. We must say that we don't see that strong pickup in market activity yet in April in China. We see on the residential side, and we are – you should remember, very exposed to the residential side, still very strong, double-digit negative growth market activity in China. I think on the commercial side, it's a little bit better on activity, but of course, that activity still has to be translated into sales. So we see a slower recovery in China. And then, of course, we should not forget when we talk about APAC, China is only half of the business. If you then look, second biggest market is definitely Australia and New Zealand. But then we have South Korea. And like I mentioned earlier, already, South Korea was already a depressed market and corona did not improve that situation. And then the next big market is Southeast Asia. And if you look in Southeast Asia, with the exception of Vietnam, most other countries in Southeast Asia are still in a lockdown situation. And then we have, of course, India. If somebody would have said beginning of the year that they would shut down a big country like India for more than one month, nobody would have believed it. But today, that is the reality, unfortunately. So I would say market conditions, in general, in the world still very depressed. Some light in the tunnel with some markets talking of opening up again. Then, remains to be seen how fast they will ramp up again. Some market highlights. Also, this quarter, we had several strong project wins around the globe. I will not go in detail for time reasons. A lot of new product launches also on the electromechanical side. I will just speak one. The ABLOY Bluetooth padlock, keyless padlock, very excited about that. Very important for our critical infrastructure, vertical in Global Solutions. And then, of course, it's always good to see that we, on a continuous base, are recognized for all the innovation work we do. Also, this quarter, we won several innovation awards around the world. Sales growth, 27 consecutive quarters with positive organic growth. And then unfortunately, it took the COVID-19 crisis to kill that track record. So this quarter, negative 3% organic growth, but still 3% positive growth through acquisitions. And operating margin also, dropping on a 12-month moving 10% to 15.2%. And like I mentioned already earlier, then our operating profit, 15% down versus the same quarter last year. We continue to be active on the acquisition side, although also there, it's now obviously difficult to go and visit potential targets. But we closed three acquisitions in the quarter. And then, we still have the ambition now to close agta record in the second half of this year. A couple of words on Biosite, an acquisition we did in the UK, a leading solution provider of biometric access control to the construction industry. So they do access control, time and attendance and so on for construction sites. A business of SEK 175 million with 140 employees, which is, for us, a new vertical in our Global Solutions division. Obviously, we have then, the ambition to also expand that concept internationally. If I then go into the different divisions, starting with EMEA. Like I mentioned earlier, affected by COVID-19 as of March. An organic negative sales growth of minus 4%. A division really, that was ramped up for accelerated growth, where we also saw that growth accelerating at the beginning of the quarter, but then, of course, different story towards the end of the quarter. There's still a good growth in Scandinavia. A flat Middle East, Africa and Germany. And then, sales decline in Finland, mainly, I would say, because of the export business in Finland, the export quite a lot to France. And clearly, France was very much down. Sales declines also in UK and Benelux and then, significant sales decline in South Europe, France and East Europe. And then operating margin of 12% versus 16.2% last year, affected, in a very important way, by COVID-19, again, this cost structure in EMEA was built for accelerating growth. And then, of course, if, in many markets, a market like France, for instance, business goes from 100% to 0% from one day to the next, when French government decides to shut down the country, we had not enough time to adjust our cost structure to that new reality. Margin was also affected in a negative way by FX, 60 basis points, that's mainly the SEK versus euro. EMEA had also much higher operational costs in February and March because, again, we had more challenges with our supply chain coming out of China, where we had higher logistic costs, because we had to fly some of the products. We also had to ship more half-full containers than full-load containers with extra logistic cost as a consequence. And clearly, we also had to make a lot of extra measures in our factories to keep them up and running, measures around COVID-19. Also, higher sick leave that all led to more inefficiencies in our operations. When I go to Americas, I would say Americas' a good quarter, a strong quarter with an organic sales growth of 1%. But we should here mention that, that is on top of 15% organic growth, same quarter, a year ago. We have a strong performance in U.S. for all business areas, with the exception of Smart Residential and Access & High Security where, in Smart Residential, we had that very high difficult comparison with a big Google Nest order last year, and where in Access & High Security, we had a very high comparison for the Walmart order a year ago. If you would exclude for those two, also those two business areas would have seen strong performance, also, good performance in Canada. And I commented earlier, also in Latin America. A good operating margin of 19.9%, a little bit affected, on the operations side, also with higher logistic costs and higher operational costs because of COVID-19, but apart from that, a good solid quarter. We also should mention that we moved then the Perimeter Security business from Americas to Entrance Systems, and figures are corrected, restated for that move. Asia-Pacific, clearly, affected in a very important way, top line-wise, by COVID-19 and organic sales, negative growth of minus 34%. I would say, yes, negative growth in all regions in the division, mainly, of course, strongest negative growth in China and then also in South Korea. And an operating margin of minus 9.6% versus 5.2% last year. You will see in the bridge that we still managed, in a reasonable way, to take cost out and still see a decent leverage on that, a very strong top line drop. And we were also affected, in an important way, negatively by FX, 120 basis points. That was mainly because of the low Australian dollar and then the renminbi versus the SEK. If we then go to Global Technologies, a flat top line development, where we had still strong growth in Physical Access. Good growth in Secure Issuance, but then flat development in Global Solutions and negative growth in the other business areas in HID. And then, very negative growth in Citizen ID. It's clear that we are not happy with the performance in Citizen ID, in particular. It's now several quarters that we missed the biggest projects. And yes, we are taking the necessary actions there also to adjust our cost structure to the new reality. Global Solutions was affected, in an important way, by COVID-19 in the sense that they have one factory in Shanghai that makes all the door locks for the hotel and the marine business. And obviously, that factory was closed in February and then had some challenges to ramp up again in March, and that affected top line, in an important way, and clearly, also bottom line. Same is true for HID to a lesser extent, in the sense that they also have an important factory in Malaysia, which was also closed for more than a week and then, it's now only running at 50% of capacity due to government restrictions in Malaysia. An operating margin of 14.3% versus 17.9%, last year, also here, the negative volume leverage, this was clearly a division that was geared up for growth. We have said that we had the ambition to grow this division high single digits for the coming year. And the cost structure was also accordingly. We also have and are making important R&D investments in this division. Then, obviously, if you have a flat top line that is translated on significant pressure then on the bottom line. We also had negative FX, 20 basis points, and negative M&A, 120 basis points, that was with our acquisition of De La Rue, which is still in the early months, and we are still working on the integration of De La Rue. And then, also Placard, our acquisition in Australia, where we had an important currency effect, Australian dollar versus buying a lot in U.S. dollar. Then, go to Entrance Systems, a flat top line development with a very strong Perimeter Security. Remember that Perimeter Security, last year, had a weak first half of the year, was a very wet season in the U.S. and therefore, it was difficult for Perimeter Security to install their projects. So they had an easier comparison, I would say. Stable growth in pedestrian and residential and then negative growth in Industrial. What is important here in Entrance Systems to mention is also that we don't see now that further positive mix change to service. As a matter of fact, our service was also, only, stable in the quarter. We had a very good start, accelerated growth of service in the beginning of the quarter, but then it dropped, in an important way, in March. Also, here, customers did not allow us to come on-site because, again, they thought that our service technicians could have coronavirus, and they didn't want to take the risk and therefore postponed all, I would say, nonessential service interventions. Operating margin of 12.2% versus 13.2%, last year, where it's important to mention a 30 basis point FX. And then, definitely the 50 basis point M&A where we took another SEK 20 million of cost for the agta record acquisition. A small negative volume leverage, 10 basis points. Also here, Entrance Systems has three factories in China, therefore, also operationally affected by that. And I would say that Entrance Systems is a little bit between EMEA and Americas in a sense that a little less than half of the business comes from the U.S., a little bit half of the business comes from Europe. So they had similar effects like EMEA in Europe, similar effects like the Americas in North America. So we are clearly implementing severe cost-saving measures. We are profiting in all the different markets where we can from all the subsidies and support that the local governments put in place and therefore, have a lot of temporary layoffs, short-term work and so on. But we also are working on adjusting our more long-term cost structure because we believe this will take longer to recover. And therefore, unfortunately, also have to make permanent layoffs. We have put a hiring freeze in place, and we reduced headcount by more than 1,000 people in Q1, partly MFP-related, partly, of course, COVID-19 related. We reduced, in a very important way, consultant work and external services work, delaying and stopping a lot of projects and we also renegotiated service costs with our service providers. We stopped basically traveling also because no customers or suppliers want us to go and visit them. We reduced marketing activities, in an important way. We also decided not to participate in any exhibition conference that kind – in the full year 2020. So we are really doing a lot of cost-saving measures. And I would say that our priority, I repeat, is in the first place, cash flow. Second place, bottom line and only third place top line. And with that, I give then the word to Erik, who will then go a little bit more in detail on the financial numbers.
Erik Pieder: Thank you, Nico, and also good morning, everybody, from my side. If we look on the financial summary, yes, we've seen before that we increased the sales with 3%. I think Nico went through, if we look on the organic to minus 3%. Acquired net growth was 3%. If we look then for Q2, it's expected to be around 2%, with a dilutive impact on the margin. FX was 3%. We expect the same now for Q2, with also a dilutive impact on the margin. Operating income, down minus 15%. You see the same drop also coming through then on the 16% then, on income before tax and net income and the same on earnings per share. Operating cash flow was positive. As you can see, we actually improved it with 3% if we compare to last year, which is, of course, a lot related to the good work that we do on reducing our net working capital. Our return on capital employed went down with four points, which is related to the weaker earnings and the increased capital employed due to the acquisitions. If we then go to the bridge, you can see that the volume effect was minus 4%. And we still were able to keep, let's say, the price of 1% that we had already last year. The flow-through was a disappointing 76% and were sort of minus 2.1 points, which I think, you've seen before, is mainly related to APAC, EMEA and Global Technologies. The currency had a negative impact of 30 basis points. And on the acquisitions, had the same negative impact, which is, of course, related to what Nico talked before about the results from De La Rue and Placard. But it's also important to mention that we have also acquisition costs for agta record of more than SEK 20 million. If we then go to the cost breakdown, you can see that we still had some tailwind when it comes to direct material, which is mainly coming from the door group and Perimeter Security, which, you now know is moved from Americas over to Entrance Systems. You can see the impact was two points. The conversion cost was negative with minus 1.2 points, which is related to the negative growth. But also related to, let's say, the higher cost that we have for logistics and also the higher cost that we have to sort of make sure that our employees are safe in the factories, so COVID-19 measures, if accounted like that. The gross margin was up with 80 basis points. The SG&A, minus 3.2 points. Of course, it's related to the negative growth, but also that we had – we continued our investment in R&D. And we will also saw, that was mentioned before, that we were geared up for growth. And yes, now of course, we are in a different situation. What we will now do in the future, we'll continue to invest in R&D, and we will continue to invest in specialized sales. But on all other items here, we have cost measures, and we expect it to start to materialize now in Q2. If we then go to the operating cash flow, as I said, it was encouraging to see that it was up with 3% versus the same quarter last year. As I mentioned before, it's mainly related to the good work that we do in our net working capital. And if I should highlight one is, once again, the inventory, where we see that we sort of have a good traction when it comes to this. The cash flow versus EBT on a 12-month rolling, you can see, is 108%, which is, I think, it's still on a reasonable level. So – and, of course, also, if we look at what we have done in the previous downturns, I think, there, we've also been able to maintain better around the cash flow. So if you then see what do we do? I think that was mentioned by Nico before, I think our priorities are cash flow, profit and then sales. And if we then look into, let's say, the four areas well, let's say, on the balance sheet where we work, we work on the accounts receivable, where we then have a stricter collection procedure. We also have stricter credit checks because you want to make sure that sales is also collectible sales so that we get the money. On the inventory, we are destocking. We are also making sure that we optimize our logistic flow by using newly implemented softwares. On accounts payable, as Nico mentioned before, we're going to renegotiating our payment terms with our suppliers. And then, of course, as you always do in a crisis like this on the CapEx, we are postponing projects in order then to make sure that we maintain our cash flow position. If we then look on the gearing, you can see that the debt versus equity went down to 58% and the net debt to EBITDA is now at two versus 2.2 last year. So I would say that still, our financial position is solid, which I think is important in times like this. Finally, from my side, the earnings per share went down with 16% and ended for the quarter at SEK 1.68. And with that, I hand back to Nico. Thank you.
Nico Delvaux: Thank you, Erik. So as a conclusion, definitely a challenging Q1 affected in an important way by COVID-19. A negative minus 3% organic sales development. EBIT, 15% down compared to the same quarter a year ago, but a good solid cash flow, 3% up. And then, I mean, I went through the map of the world with you and where we stand today in the different markets from a market condition perspective. So it's clear that going into Q2, it's a very challenging situation. We are taking important cost measures in all parts of the world. We are postponing investments and so on. But we believe that as well, sales – as EBIT margin will be significantly affected in the coming months and will be significantly lower than in Q1. And with that, we can give back the word to Björn and then open up for Q&A.
Björn Tibell: Thank you, Nico. Yes, before we hand over to the operator, could I please remind you to limit yourself to one question and one follow-up to allow as many as possible to ask questions. So operator, this means that we are ready to open up for the Q&A session. Please go ahead.
Operator: Thank you. [Operator Instructions] Our first question is from Guillermo Peigneux from UBS. Please go ahead. Your line is open.
Guillermo Peigneux: Good morning, everyone. It's Guillermo Peigneux from UBS. Hope everyone's safe. I wanted to ask one question and one follow-up. One is regarding some of your comments, Nico, regarding the evolution since basically, your 7th of April prerelease. As the situation remains very fluid, I was wondering how some of the regional markets that you mentioned or any anecdotal evidence that some of the regional markets that you mentioned in Europe, especially Southern Europe or even Central Europe, like Germany, so Germany, Italy, Spain, are just starting to react in terms of activity or even quoting activity from your perspective, i.e., is there any interest in going back to business? And do you see any incremental demand? And a similar question, I guess, to the supply chain disruptions that you saw from China. Have they evolved, in any way, any shape or any form in a more positive way since the 7th of April? And then I do have a follow-up on the manufacturing program, number eight, which is also mentioned in your release. I guess, is that just driven by the acquisitions you recently executed on and therefore, we shouldn't be ascribing this as the COVID-19 reaction?
Nico Delvaux: Yes. If I start on the sales side. Of course, the big question is what's going to happen when the different markets open up again? And the honest answer is we don't know. I mean, we really don't know how fast markets will pick up again, when they are open again. I think the only reference we have so far, then the question is, of course, how much you can copy that, as an example, to the rest of the world is China. And like I mentioned earlier, we see, in China, business slowly coming back, but definitely not as fast as perhaps some other people say or some other people think. Now again, what you have to realize in China is that we are very exposed to the residential side. We are less on the commercial side. And it's clear that our feeling is that it will take longer on the residential side to recover than on the commercial side. Because again, if you have been in – or locked up into your home for more than a month, it's not your first thinking of putting a new front door or putting a new digital door lock. You have other things on your mind and perhaps you still have that fear that a person, that a locksmith, that will come replace the door or that lock might have corona. So you will postpone some of those decisions. So we see a lower recovery in China on the residential side, with market activity in April, still very strong double-digit down compared to the same April a year ago. It's a little bit better on the commercial side because, obviously, also the government is making investments on bigger projects. But that is in the first place, of course, on all the activity side, then the orders still have to be translated into sales. So we still see an important negative event also on the commercial side in China, in April at least. And again, we will see how that now evolves going into May and June. If you then talk, in general, and you asked on the European countries, it's clear that South Europe is preparing themselves to open up again. If you see already something perhaps it's that they are delaying that opening up. Italy, for instance, had announced that they were going to open up the 4th of May. But then you see they open up the factories again of the 4th of May, but then for instance, retail will only open up a week later. The normal life will only start, depends what you can call normal life, a week later, like restaurants, bars, will only go up, open up again in a very restricted way in June. So how that ramp-up will go, it's very difficult for us to judge and to say. And the same is true for other countries like Spain, France and so on. We have opened some of our factories, again, in France, in Italy and in Spain. But they run at a very low level. They are just trying to fulfill the backlog we have. Market activity in April has been still very, very low. And that I would say is the first market that opened again in Europe and UK, for instance, is, I think, a couple of weeks behind in the cycle. Then it's true. You mentioned Germany. I think Germany, it looks like they handled that corona crisis in a good way. We still see good activity in Germany but again, not on the same level as a year ago. And the same thing in Sweden, which has also had a more liberal approach to restricting and locking down people, also, in Sweden, we see business going on, but also on a lower level than a year ago. So that's your first part of your first question. Second part of your first question, the operations, we are back to normal. China supply chain is okay. Again, our factories are up and running again definitely on the level that they need. Our supply chain in China is up again. So that challenge is over now. But there's another challenge there now that as the demand from the rest of the world is lower, it's more how to get – how do we address and lower capacity in some of the factories because of the lower demand in the rest of the world. And then your second question – and the only thing that we still have there is, of course, higher freight costs. It is still a bit difficult on the logistics side, but definitely, definitely significantly improved compared to February and March. And then your follow-up question, MFP 8, it's too early to quantify. We should be able to do that more towards the second half of the year, and definitely going into Q4. But it looks like it's going to be a very similar program as MFP 6 and MFP 7. And for the same reasons as before, in the sense that indeed, we continue to buy 15 to 20 companies per year. So we see possibilities there to consolidate operations, but also to consolidate sales organizations, logistics, warehouses and so on. And of course, the whole COVID-19 situation also gives us the opportunity to accelerate some of those projects.
Erik Pieder: But Guillermo, I think it's – this is a part of our normal process. I mean, we did the MFP 7, we announced that two years ago. And now, yes, we are working on, let's say, the MFP 8. As I said, is a part of our normal process, and it would follow the normal process.
Guillermo Peigneux: Thank you very much.
Operator: And our next question is from Alexander Virgo from Bank of America. Please go ahead. Your line is open.
Alexander Virgo: Good morning, gentlemen. Thanks for taking my questions. I trust everybody is well. Quick one, I suppose, on construction. I'm just trying to understand a little bit around the customer behavior with respect to discussing projects and what's going to happen over the next 12 to 18 months. So obviously, the very near-term impact of a lockdown is quite clear from what you've been saying. I'm just trying to understand how we can think about the trajectory of recovery? And then – and obviously, regional differences within that would be helpful. And then the second question would just be on HID. You've got an ambition, obviously, to double that business, which you presented at the Capital Markets Day, 18 months ago or so. Just wondering if you can comment on the – well, that level of ambition and whether or not that's still achievable?
Nico Delvaux: Let's start with construction. Again, perhaps we should make difference between residential and – or B2C and B2B. I explained the behavior on the B2C side before. So I will not repeat that. If you look at – on the B2B side, I think we should also make a distinction between new build and aftermarket. If we take new builds, obviously, all the projects that are on hold today, because countries are on lockdown, they will open up again once the country opens again. I mean, if tomorrow, country like Spain opens up again, they will start to work again on those projects. And as we are close to the end of that project, obviously, they will go on because they spent most of the money. So they will not stop the projects once they are at the door hardware. Of course, it remains to be seen how efficient that will go because all the countries are discussing on social distancing between the workers on those construction sites. So for sure, those construction sites will continue in a less efficient way than prior to COVID-19. That's on the short term. On the long term, it will depend how much money is going to be available to do new projects. Because clearly, while they were in lockdown, also the activity on deciding on new projects, went down. And if you don't do a project today, we will only see that result in a year, 18 months from now for us because that's the time it takes between starting a new project and arriving at the door heart where we come in. On the replacement market, of course, when people go back to work, when they sit back in the office, things will break down, and they will have to replace perhaps, the refurbishments, the upgrades. There might be some delay because some other companies might do like us, they will look into investments, cutting costs, postponing investments. But again, it's very difficult for us to judge what's really going to happen. I think it depends also a bit from country to country. It depends also on how much stimulus packages the different governments are going to make available on the construction side. I think it's fair to say that in a lot of countries, definitely, construction is high on the agenda as stimulus for the governments to, one, get construction people back at work and two, also make sure that the activity ramps up again. When it comes to HID, I would say that long term, our ambition has not changed. We – for HID, definitely, we still have that ambition to grow high single digits organically and continue with complementing that growth with good add-on acquisitions. It's clear that on the short term, COVID-19 puts us back. In general, if you take, for instance, our access – our PACS business, our Physical Access, our cards and our readers. It's clear also there that if people don't go to the office, they don't need cards. We have also an effect on that core business as we have an effect on all the other different business areas. But it's fair also to say that apart from COVID-19, we are not entirely happy with the performance of the division, in general, and with the performance of Citizen ID. So the passport business in particular. We have done there a couple of acquisitions, the Crossmatch acquisition and now also De La Rue. We are still very much in the integration phase, and we believe we can do better, in general, and for Citizen ID, in particular, irrespective of COVID-19.
Alexander Virgo: Okay, thanks very much, guys.
Operator: And our next question is from Gael de-Bray from Deutsche Bank. Please go ahead. Your line is open.
Gael de-Bray: Thanks very much. Good morning, everyone. I have two questions, please. The first one is about the drop-through, 76% in Q1, so obviously very high compared to what we've seen in the past. So since you've been cut by the certain and potential fall in demand at the very end of the quarter and now going into Q2, I mean, how shall we think about this operating leverage? Because on the one hand, I guess, the bigger drop in volumes likely means that the operating leverage should increase in theory. But on the other hand, you certainly had a bit more time now to react to the new environment and cut nonessential OpEx and the likes. So how do you see the operating leverage in Q2? That's question number one. Question number two is about, well, what you said that you expected sales to decline significantly in Q2 compared to Q1, but more specifically about this. I mean, a number of industrial companies have pointed to organic sales declines of about 25% recently going into Q2. So it is ballpark what you see as well? Or is this actually works on your side because of the specificity of your business and the exposure to consumer markets, in particular?
Nico Delvaux: If I start with the first question, the drop-through. As I explained, in Q1, it was two effects, higher operational costs, higher logistic costs for supply chain out of China to the rest of the world. That will continue to exist. Of course, in Q2, perhaps less on the supply chain out of China, but more on the fact that we have higher operational costs in the different entities around the globe because we take all those extra measures because let us be clear, the health and the safety of our own employees is our first priority. So we do a lot of work, social distancing, special measures. But clearly, that has a negative effect on efficiency in the operations and in the factories. And that will continue as long as COVID-19 is there, most probably as long as we don't have most of the people vaccinated. But clearly, the second one, the top line effect, which was only 3% negative organic growth in Q1, that will be much more significant now in Q2. And everything will most probably depend on, I would say, June, because April, I explained to you the situation with more than 50% of world population in one way or the other way, locked down. But we also know that May, for many markets, will be a kind of lost month in a sense that France is talking about opening up again, the latter part of May, as an example. UK, the same thing, a lot of countries around the world are saying that they will stay locked down until the last week of May or even June. And then everything will depend on, again, how fast business will pick up again, when those markets open up and that, we honestly don't know. So what we only say is that it will be a very significant double-digit drop of market activity. How much exactly? It's very difficult to say. And clearly, we are making a lot of cost measures, very significant cost savings, but they will not be enough to compensate for the big drop on the top line. And therefore, yes, we definitely expect a further negative effect on our EBIT margins, like I also mentioned on my conclusions slide. If you take the first two months now, April and May, the two months where we have visibility, we foresee that, for those two months, we will have lower – yes, definitely, significantly, lower top line, but also a lower margin – significantly lower margin than we had in Q1. Then, again, everything will depend on afterwards, June, July, end of Q2, Q3, how then the business will pick up again. So we don't know.
Gael de-Bray: Okay, okay. Thank you.
Operator: And our next question is from Lucie Carrier from Morgan Stanley. Please go ahead. Your line is open.
Lucie Carrier: Hi, good morning, gentlemen. Thanks for taking my question. I will go one at a time. The first one, I was hoping if you could maybe help us in thinking about the breakdown of your activity in your commercial businesses. Specifically, for EMEA and North America, i.e., how much is exposure to, let's say, retail buildings, how much is manufacturing buildings, how much is office space and so on?
Nico Delvaux: So if we start in North America, I would say that our exposure is mainly on the commercial side. We have very little exposure to the residential side. Our only exposure to the residential side is on digital – well, it's mainly on digital door locks for U.S. and Canada. It's – for the whole Americas, around 20% residential exposure, but that's mainly because of South America. In South America, we have a bigger part residential. If you take the U.S., it's significantly lower. So we are very much skewed towards, yes, commercial side. If you take EMEA, it varies very much country by country, but on average, you could say that residential is around 40% in EMEA. 60% is commercial.
Lucie Carrier: I guess my question was more if you could give us a breakdown of your commercial exposure. How big are office buildings, how big are retails or kind of leisure, entertainment type of billing, how big are manufacturing facilities in your portfolio?
Nico Delvaux: There is not one vertical that really sticks out. I mean, if you look, again, on the average, U.S. – or Americas and EMEA together, it's very wide spreads, if you take K-12, universities, government, all the different verticals. There's no significant vertical that sticks out. So in that aspect, we are more natural leveraged, you could say.
Lucie Carrier: Okay. And then my second question was around the different cost-saving measures that you are putting in place. I guess the question has two side. On one hand, are you able maybe to give us some information on the savings you are targeting from these new measures? And which time frame do you think they're going to be completed? And then to that, should we think about additional cost in between adjusted EBIT and reported EBIT this year on the back of these initiatives? Or overall, can you indicate the level of adjustment we should expect between adjusted and reported EBIT for this year?
Nico Delvaux: Yes. Yes. So we have not reported like some other people did two EBITs. I would say, the EBIT, we reported was a clean EBIT, taking all the cost into account. I guess, we should make a little bit of distinction between short-term cost actions and long-term cost actions. I would say that all short-term actions, you should see immediately all the costs now in Q2. And that's where we take advantage of all the subsidies and the aid that all the local governments put at possession of all the companies in the countries. And then, again, all those cost savings will kick in now in Q2. And I would say this is a moving target. If you take, for instance, a country like Italy, which I think has a very good support from the government. When we have people home, 50%, obviously, we get 50% cost aid from the government through this cassa integrazione. When they are 80% at home, you get 80%. It is very flexible, and it depends on the workload we have, similar things in Spain and in France. So the cost short-term is really a moving target that changes every day. But then next to that, of course, we are taking more long-term measures and where we also said that we have to unfortunately lay off people on a permanent base. And there, it depends a bit on the country. If you take the U.S., obviously, if you lay off a person today, you will have the saving – yes, perhaps not tomorrow, but on very short term, whereas in some markets in Europe, it takes longer. So there you might have costs that we take now in Q2 and where you will see the benefit only going into Q3 and Q4. But we are making a combination of both because we don't see this as a sharp V-shaped recovery in the sense that once that COVID-19 is over and everybody is back to work, we don't see that, that immediately is going to overshoot or be back on levels pre-COVID-19. We think that effect will take longer. We will also have economic cases effects after that. And therefore, we also lower our run rate cost base, and that is now, unfortunately, mainly permanent layoffs.
Erik Pieder: And perhaps just if I add that, as you started with Nico, I mean, the Q1 is, let's say, it's a clean – it's a real EBIT, and we will continue with that process. I mean, that's what we, of course, will come back with, but that will be end of the year, that is MFP 8. And there, of course, we will announce very clearly what we will do, but that will be at the end of the year.
Lucie Carrier: Thank you both.
Operator: And our next question is from Andre Kukhnin from Credit Suisse. Please go ahead. Your line is open.
Andre Kukhnin: Good morning. Thanks very much for taking question. A follow-up and I hope all is well. Just wanted to really put some numbers around the very useful color that you gave. And maybe I'll try with a specific. If you think about Europe, some of your kind of lateral peers have given indications of kind of mid-20s or mid to mid-30s negative run rate for first two weeks of April, is this kind of consistent with what you're seeing, just to put a number around all the kind of shutdowns color that you gave?
Nico Delvaux: Well, again, it depends very much country by country. And if you take one or two extremes, Germany and Sweden, where we have seen a lower drop in market activity. And then you have on the complete extreme other side, a country like Spain or France, where literally, like I mentioned before, business from one day to the next one, from 100 to close to zero. So we have markets in Europe where that are – were under locked down or are under lockdown where market activity is also down 90% and more. But most probably, if you take the mix, that double-digit negative growth in market activity that you mentioned is a reasonable figure. Again, everything will – that is April and perhaps May where we have a little bit of visibility, then everything will depend again on how fast, and – those markets will recover when they open up and if they open up.
Andre Kukhnin: Okay. Got it. That's useful. I mean, I'm not surprised to see very sharp drops in activity in South Europe. I guess, some others reported kind of drops of 60%, 70%. So we'll take the kind of 90% away from this. And then also on the cost action side. Maybe if I could just try it a bit differently. Out of the 1,000 people that you took out in Q1, out of 1,000 headcount, how much was permanent as a proportion roughly? And can you confirm that the cost associated to that were not charged against the provisions taken for MFP?
Nico Delvaux: You want to take that, Erik?
Erik Pieder: Yes. I mean, first of all, what – I mean, if we start with – I mean, what we will do from our headcount reporting is we will – I mean, when it's short term – I mean, the short-term like the subsidies, those ones we will not consider to be headcount reductions. It's the long-term that we consider to be long-term reductions. If you look on the 1,000 people that we took out, part of that was actually related to MFP 7 projects.
Nico Delvaux: So you could say that around one-third of those people were MFP 7-related. And then two-third were permanent layoffs related to economic situation. And it was mainly in APAC and, to a certain extent, in Americas. Again, because in Europe, it takes longer if you do those actions to come to the conclusion.
Andre Kukhnin: And sorry to violate the follow-ups rule, but I think it's important for everyone, but just to double check, the two-third that were taken out outside of MFP, the cost of that were not – you didn't use provisions – MFP provisions for cost of that?
Nico Delvaux: We just took them as cost in the quarter.
Erik Pieder: Correct.
Andre Kukhnin: Got it. Thank you. 
Björn Tibell: Operator, I think we have time for one more question, please.
Operator: And our next question is from Alasdair Leslie from Societe Generale. Please go ahead. Your line is open.
Alasdair Leslie: Yes, thanks. Good morning, everyone. So I was just wondering if you could help us understand the expected margin declines by business. Should we expect to see kind of big differences in operational leverage across regions, sort of similar to what we saw in Q1? I'm thinking particularly, how should we think about the Americas decremental margins. You've arguably had more time to adjust costs there perhaps weren't ramping up for accelerated growth and are adding cost as you kind of flag what you were doing in Europe. And then maybe some – also some relatively reassuring comments from your main U.S. peer last week around sort of continuing price cost benefits. So I was just wondering whether we should be more optimistic about the negative operational gearing in the Americas?
Nico Delvaux: Yes, if you look and comparing EMEA with Americas, it's clear that Americas is an easier, I guess, division to run operationally than EMEA in the sense that EMEA, you have – or in the Americas, you have one market, the U.S. market, which represents almost 80% of the division. And that's, in a way, a uniform market. But also, it's easier to take decisions on laying off people and also a faster process when you lay off people as compared to EMEA, where you don't have one global market. Every country is different. And every country has its own dynamic and its own rules. So I think it's fair to assume that it's easier also, from a volume leverage point of view, to adjust quickly in Americas than it is in EMEA.
Alasdair Leslie: And then just maybe a follow-up on the – in reference to the lower residential exposure in the U.S. I was wondering, is that a positive as well already in Q2? Because you've kind of sort of framed that in terms of sort of the recovery about how B2C would recover at a sort of slower pace. But already in Q2, the lower residential exposure in the U.S., would that be a positive for the top line as well? I guess what I'm getting at is, have you seen a significant difference in demand in countries that have been in lockdown, particularly in Europe between the kind of residential markets and the commercial markets?
Nico Delvaux: I think in the lockdown as such not. Again – I mean, France is locked down, it goes from 100 to 0, irrespective if it's now residential or commercial. It's more, I would say, in the markets that are not locked down. If you take a market like Germany or Sweden, again, the normal B2B construction work is less affected than the B2C because again, people are afraid to have that locksmith coming to their home to put a new digital door lock or to put a new door handle or whatever, whereas in the B2B environment, as long as the industry is open, markets continue to run. And the same is true in U.S. if, whatever, if Chicago decided, say, we close all construction sites as of tomorrow, construction sites are closed, and if it's the residential construction side or a commercial construction side, it doesn't matter. People went home and business stopped. It's more when business picks up, again, what's going to be the dynamic when they open up again. And that's definitely not the case yet in U.S., or I would say that in the U.S., we are still very much in that shut down phase with all important states and cities, construction sites completely locked down.
Alasdair Leslie: Very helpful. Thanks guys.
Björn Tibell: Thank you, Alasdair. It's time for us now to round up this conference. On behalf of the ASSA ABLOY team, I would like to thank you for your participation and interest today. We do look forward to seeing you as soon as it is will become possible. But in the meantime, we'll look forward to talking with you on the phone in the coming weeks. So that's it for today. We wish you a good day. Thank you.
Nico Delvaux: Thank you. Stay safe.
Erik Pieder: Thank you. Stay safe. Bye-bye.